Operator: Good day, and welcome to the SQM Fourth Quarter 2023 Earnings Conference Call. Today all participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note that today's event is being recorded. I would now like to turn the conference over to Irina Axenova, Head of Investor Relations. Please go ahead.
Irina Axenova: Thank you, Chris. Good morning. Thank you for joining SQM's earnings conference call for the fourth quarter of 2023. This conference call will be recorded and is being webcast live. Our earnings press release and the presentation with a summary of the results have been uploaded to our website where you can also find a link to the webcast. Ricardo Ramos, our Chief Executive Officer, will be speaking on the call today. Gerardo Illanes, our Chief Financial Officer; Carlos Diaz, Executive Vice President of Lithium; Felipe Smith, Commercial Vice President of Lithium; Juan Pablo Bellolio, Commercial Vice President of Iodine and Industrial Chemicals; and Gonzalo Aguirre, Business Intelligence Director, will be also available to answer any questions later in the Q&A. Before we begin, I would like to remind you that statements made in this conference call regarding our business outlook, future economic performance, anticipated profitability, revenues, expenses and other financial items, along with expected cost synergies and product or service line growth, are considered forward-looking statements under Federal Securities laws. These statements are not historical facts and may be subject to changes due to new information, future developments or other factors. We assume no obligations to update these statements, except as required by law. For a complete forward-looking statement, please refer to our earnings press release and presentation. I now leave you with our Chief Executive Officer, Ricardo Ramos.
Ricardo Ramos: Thank you, Irina, and good morning, and thank you for joining the call today. We reported our full year 2023 earnings yesterday with our net income reaching over $2 billion, delivering over $7 in earnings per share. I would like to focus on key performance drivers observed during the last year and our first impression on how this year should cool unfold for SQM. Starting with Lithium business, our full year revenues were over $5 billion, approximately 36% lower when compared to the previous year, partially offset by record high sales volumes of 170,000 metric tons, almost 10% higher when compared to the previous year. The sales volumes during the fourth quarter were over 51,000 metric tons, record quarterly sales volumes for SQM. Their revenues were affected by lower sales prices, which were decreasing quarter-over-quarter starting at the beginning of 2023 as a result of the capacity and inventory excess in the battery supply chain. Our lithium sales volumes guidance for this year considers an expected growth around 5% to 10% based on the contracted sales volumes for the year as well as market estimates and conditions we are seeing at the moment. We believe lithium demand could grow another 20% this year, China remains the biggest demand and supply market for lithium products and is still going through the stocking of both battery materials and lithium chemicals inventory accumulated in the past years. That, coupled with an estimated incremental supply makes it challenging at the moment to expect our sales volumes to increase above provided guidance. Nevertheless, depending on the timing of new supplies and any potential production curtailments, we could revisit our guidance as we advance through the year. Later in this call, we will discuss in more detail our lithium market views and electric vehicles market dynamics. In the Iodine business, we reached record high production volumes during 2023, producing over 13,000 metric tons of iodine and increasing our sales volume despite global demand contraction seen during last year. We expect to see some demand recovery in the iodine market during 2024 with relatively stable prices as seen at the end of last year and stable sales volumes with a potential upside subject to lack of any incremental volumes from the competition. We believe SQM, as industry leader, is the only global iodine producer, which has been able to materially increase its supplies in the recent years. In the Fertilizer business, we saw some sales volumes recovery and market prices stabilizing. We expect to see positive demand growth in the potassium nitrate market, driven by increased demand and product availability and expect our sales volumes to grow accordingly. In the meantime, we will focus on cost improvements and new market opportunities for our products. Finally, I would like to thank the SQM team for dedication and unified vision is sustaining our leadership position in our key markets at consistently delivering rate performance year-over-year. Thank you. Before we move to the Q&A, I would like – it's going to be something different today, I would like to address one of the issues that has been brought up in the conversation with investors especially in the last two months, probably related to the future of the electric vehicle industry. For this discussion, I have invited to this meeting, Gonzalo Aguirre. Gonzalo is responsible for lithium market intelligence at SQM and could help us to visualize better EV battery industry. Thank you for being here, Gonzalo. And I have some questions. I think we're going to get on 10 to 15 minutes in order to go through these. But I think it's very important in order to have an outlook of the industry in the future. Gonzalo, my first point is, as you know, in the recent weeks, it has been reported in the press that the U.S. and other countries are considering delaying deadlines for requiring minimum percentage of electric vehicles in new cars. How do you think this will affect electric vehicle penetration in the long term?
Gonzalo Aguirre: Well, it's true that we have seen some news, many of them coming from the U.S. However, it's essential to remember that the U.S. market, while significant, currently represents slightly less than 20% of the global car sales. On the other side, looking back one year, when there were concerns about 2023 being a challenging year for EVs due to the end of the subsidies in China, macroeconomic factors and bury sentiments, but still Global EV sales for 2023 were even higher than initial estimates and closed the year with more than 14 million units sold. In China, they already went through these very same doubts, feeling the market couldn't sustain itself without support. They no longer have relevant subsides, just some tax exemptions, but the industry continues to grow incredibly. It's not an industry that could collapse if subsidies are removed. I would like to put emphasis on a topic that often overlooked. It is important not to forget the product that we are talking about. If we look at the models on the market, we have already reached performance levels much higher than what we expected a few years ago, ranges over 250 miles in many models, and we are even reaching the 70 to 100 rule that it's 100-mile fast chargers in as quick as seven minutes. I don't know who can say that these numbers are not at the same level or even better than their ICE equivalents. The future of this industry is not based on government incentives, but on competitiveness, performance and obviously, on the positive impacts on the environment.
Ricardo Ramos: Yes, Gonzalo, but at similar performance level that suppose similar performance between two alternatives, are EVs more expensive, really?
Gonzalo Aguirre: But less and less every day. Thanks to the price competition between manufacturers, we see that in recent years, prices have fallen sharply. Today, the most popular EVs in the U.S., the Tesla Model Y can be purchased new for about $35,000. And to make a fair comparison, when we look at the total cost of ownership, which considers how much someone will spend for some years since electric vehicles require less maintenance and a lower cost to move around, we see that the gap between EVs and ICEs has been narrowing a year after year that's across all segments. And according to some analysis, light vehicles are already in the money. In Europe, countries like Norway have achieved over 80% EV penetration last year, aiming to end ICE sales from next year and others like Sweden are following not far behind with close to 60%. With no reason why in the mean term, EV cannot be on the same cost or even lower than its traditional equivalent. Since successful companies such as Tesla, Hyundai, KIA and several Chinese producers have shown us that they can be extremely cost efficient when producing an EV and continue delivering cars of the highest quality. Yes.
Ricardo Ramos: Yes. But if you think it's reasonable to expect in some way, higher price of lithium in the future, if you consider significant additional supply and additional demand, in particular, where you think that doubling or tripling the demand for lithium if we're positive about electric vehicles. This surely will affect the cost and the way it competes electric vehicle. What's your opinion about that?
Gonzalo Aguirre: I understand. Maybe the approach is concerned, let's do a simple exercise with numbers. If we take an electric car like the Tesla like I said before, to manufacture that battery, it takes approximately 50 kilos of lithium carbonate equivalent per car, okay? Now if we think about some price, let's say, $20 a kilo, lithium costs would mean a total of $1,000 per car. We are talking about less than 3% of the total price and each additional dollar of the lithium price affects the final cost of the car by only $50. As you can see, lithium is not so relevant to the price. At least it should not be a variable that affects the demand for EVs in the future. Obviously, as in all industries, producers will try to lower costs as much as they can. And finally, the price will be linked to the total margin costs that include investments of all the products needed to satisfy the demand. Today, the cost of batteries is high, basically due to the significant investments in R&D that have allowed huge improvements in their performance. It is reasonable to expect that for stabilization of R&D expenses as well as the economies of scale in the EV production will allow significant reaction in total costs. There is no reason to think that in the long-term, EVs should be more expensive than their traditional counterparts. If the EV being sold is a good car and it's competitive, at least the price of lithium should not be a factor that prevents its adoption.
Ricardo Ramos: Okay. And what's about the – some opinion related to the potential negative environmental effects of lithium mining?
Gonzalo Aguirre: Yes, maybe we can take SQM alliance with Codelco as a good example. It shows signs of the industry leadership with full commitment to environmental standards. We can see that projects like Salar Futuro marked an extraordinary step in the right environmental direction, and we'll set the standard that will be required to the entire industry. New products will need to incorporate this environmental standards into their costs, given that they will be a minimum requirement in the industry. This way, the entire industry will aim to be sustainable. It is also important to note that the use of batteries in BSS makes the energy transition viable due to the operational intermittency of the renewable sources, which certainly has a very direct effect on reducing the environmental impact from the use of fossil fuels in the electric grid.
Ricardo Ramos: Yes. Talking about the electric grid, there's also doubt and some people think about the electric grid and the availability of fast-charging stations if they can support the expected growth of the electric vehicles.
Gonzalo Aguirre: The thing is that this concern has always existed since the early days of the EVs. China is a solid example that these elements are not the real constraints. In three years, they increased their annual sales over 6x without this effect causing major problems. As demand grows, charging stations should follow quickly. It's not a very complex technology. It's fast charging, it’s really simple. Additionally, for example, in the U.S., there are several Federal incentives and subsidies to encourage the installation of chargers to the point that today, it is estimated that 125 new chargers are being installed every day. And also, last year, we saw some declarations involving seven of the largest OEMs to jointly develop charging networks throughout the market. EVs can be complemented to a sustainable power generation. Without going any further, again, we can see, for example, companies like SQM investing in our U.S. start-up, electric era that is going to fast charging networks backed by stationary lithium batteries so that electricity can be purchased at times of lower cost and then be stored for a car to be charged during the day. All of this helping to soften the demand and optimize the grid generation and distribution.
Ricardo Ramos: Finally, and I think it's very interesting, but finally, what do you think about the lithium demand in the long-term, we think in the long-term? And how do you think the supply can respond to this potential demand?
Gonzalo Aguirre: Well, if we look at 10 years from now, I think that maybe for 2023, it's reasonable to think that more than 50% of new car sales worldwide should be EVs. It is also reasonable that average batteries are going to be more powerful than the current ones. And we must not forget that increase that we are seeing and expecting in BSS [ph] due to its role in the energy transition goals that different countries have set. This together with batteries going to buses and trucks could add another 600,000 tons to demand. So if we consider all of this, it would seem reasonable to think in something near 4 million tons of lithium carbonate equivalent, which is kind of a fourfold increase from last year demand. We’re at the beginning of an EV revolution, and their performance has greatly exceeded expectations. I think that a significant portion of the market was waiting for some important issues like range and charging times to stabilize at a point where they feel it’s comfortable. And I think that’s already been achieved. Well, we have already reached levels where people are getting excited. Just look how everyone, everywhere is talking about EVs. It is one of the mandatory conversation topics. This is why, in the medium term, we should continue to see demand growing. Lithium batteries are extraordinary. There may be technologies that are better in a certain aspect, but when we consider all the qualities together, it is clearly the unquestionable leader and has the extra advantage that there is already a well developed ecosystem that supports production and additionally, if we look ahead and also consider, for example, some of the comments from battery manufacturers, its price should continue to trend downward from now on. Should we expect lithium being replaced? Maybe for some niche uses, but not in a relevant way. Now, to answer the last part of the question, based on the behavior that we have been able to observe in the market in the recent years and all the announcements of projects that plan to enter, I believe that, yes, we should have lithium supply for those volumes. However, I also think that it’s reasonable to that the total cost of those last tons produced will be much higher than the current prices. The demand should be growing to 2 million, 3 million, 4 million, and each step should require supply entering the market. So there should be a variety of projects of different costs to supply this product in the market.
Ricardo Ramos: Thank you, Gonzalo. Please stay with us because probably you will receive some questions during the Q&A. I hope you will receive some challenge of your assumptions. I hope it will. Irina, that’s it. We can go to the Q&A I think.
Irina Axenova: Perfect. Thank you, Gonzalo. Thank you, Ricardo. And Chris, we can open the line for questions.
Operator: Thank you. We will now begin our question-and-answer session. [Operator Instructions] Today’s first question comes from Joel Jackson with BMO Capital Markets. Please proceed.
Joel Jackson: Hi, good morning. I have a few questions. I’ll ask one at a time. Can you help us understand how to the math of your sales guidance, your volume guidance, when it relates to the lithium sulfate business, or sulfates to China upgraded to hydroxide? When you say that you did 170,000 tons in 2023, was that all that excluding sulfates? And when you say volume will be up five, when you expect you’d be able to do 5% to 10% higher volume in 2024, that’s 180 something thousand tons. Is that excluding sulfates? We want to add sulfates to all these numbers. And how much of sulfate should we add?
Carlos Diaz: Hello, Joel, this is Carlos Diaz. Yes, the lithium sulfate is already included in the cell that we’re reporting fourth quarter. It’s included as a lithium hydroxide. We – you have to remember that we do a refining in China, feeding the plant with lithium sulfate, and we produce lithium hydroxide. And those lithium hydroxide is already included in the Q4. And you…
Joel Jackson: Okay, okay. Great.
Ricardo Ramos: Sorry. It’s also included in our guidance for the next year, we considered all the lithium we’re going to sell worldwide.
Carlos Diaz: Yes.
Joel Jackson: Okay. So let’s follow on that. So if you’re going to sell 180 something thousand tons this year, and you were supposed to do 20,000 to 25,000 tons of sulfate, and you're supposed to produce your ponds now 210,000 tons, which ignores the sulfate opportunity. Does that mean you're going to be building something like, I don't know, 50,000 or 60,000 tons of inventory? So your guidance suggests you will build 50,000 tons or so of inventory this year. Is that fair?
Carlos Diaz: Yes. Well, regarding the capacity, we're already closing or to reaching the capacity of 210,000 in Chile. And additional to that, we have our capacity in China to transform the lithium sulfate to lithium hydroxide and the new production that is coming from Australia. So, in total, we expect to produce this year around 220,000 to 230,000 metric tons. So, however, this capacity cannot necessarily be reflecting in sale, given they need to qualify with customer the product that come from the new plant. On the other hand, our strategy has been to produce as a full capacity, so that the way we are always prepared to supply more product to the market with its needed. So that was just a deal in the fourth quarter.
Ricardo Ramos: Yes. Let me add something. Yes, we will increase inventories. Yes, for sure. Probably will be lower than 50,000. Not as significant as 50,000. But keep in mind that with an agreement of CODELCO, that we have a significant challenge in selling additional tons until the year 2030. Having an additional inventory is going to be a very good news in order to face what is expected for the year to 2025 onward. But again, as we said in the press release, and now we comment, our guidance is depending what is the specific situation of this year, but the situation is slightly better or better, we will have the advantage of the volume of inventory in order to move forward.
Joel Jackson: It's my last question, which is kind of on the same question. I'll pass it on, is – are your economics on the hydroxide being produced from lithium sulfate? Is that pretty much similar economics as your normal hydroxide, your legacy hydroxide production? And please include royal CORFO lease payments as part of that economics.
Ricardo Ramos: It's pretty quite similar to both economics.
Joel Jackson: Thank you very much.
Operator: The next question is from Isabella Simonato with Bank of America. Please proceed.
Isabella Simonato: Thank you. Good morning, gentlemen. Thank you for the call and great presentation on EVs. My question is still on the lithium sales dynamics, if I recall correctly, in Q3, right, you mentioned that you were looking for actually lower volumes in Q4, when actually volumes were record, right, last quarter. So I wonder if you could explain a little bit more the strategy you followed during the quarter in terms of sales and how are you seeing, I think, inventories down the chain, right. And I think that's the trickiest part to track at this point, is how much volume there is overseas and out there and trying to figure out a little bit the supply and demand balance. And my second question is, this is the first call post the agreement with CODELCO, right. So I wonder if you could tell us a little bit more the strategy of capital allocation going forward, right, considering that you already know what's going to happen beyond 2030, how do you see SQM's operational footprint on lithium globally, right. You did that investment in Australia recently. So I was wondering, how do you see the geographic exposure for the company over the years, considering that you already have the agreement in place? Thank you.
Operator: Excuse me. This is the operator. The speaker line is open if you would like to speak.
Ricardo Ramos: Okay, I will answer to the first question. As Carlos commented just before, our strategy is to be prepared always to meet the needs of our clients. So at the end of Q4, significant demand was generated that could have been for different reasons, such as restocking needs prior to the Chinese New Year or potentially some price speculation from customers. But independent of that, what I could comment is that despite a better than expected Q4 2023, we are also expecting a Q1 2024 volume to be higher than Q1 2023.
Ricardo Ramos: About the second point of your question, and the CapEx allocation considering CODELCO agreement I can say, Ricardo Ramos speaking, that we have I think a full agreement with CODELCO our challenge in the Salar de Atacama and our CapEx. In terms that, as you know, we are investing in the Salar de Atacama first in increasing capacity. We want to reach at least the 240,000 metric tons of total production capacity. We’re increasing our production of lithium hydroxide in order to have more alternatives of lithium hydroxide at our facilities in Carmen in Chile. And, of course, we are committed with CODELCO to move forward with the Salar Futuro project. That is the new project. In order to move, I hope, much better quality, much better cost position, probably better environmental footprint and better deals of the process. But again, we have a full agreement. We don’t expect to change our CapEx in the near future in Chile. We’re full aligned with CODELCO in the strategy. And our strategy of CapEx allocation outside Chile depends of opportunities. We have been very clear that if we foresee an opportunity to take a position in mining resources that is good for the company and that will allow us to be competitive in the lithium industry. And we believe in the lithium industry, we’re ready to go. And as you know, we are in Mt. Holland project that started two months ago. We are producing. We’re very happy about that. We now, we have this new joint venture, potentially with Hancock, in order to go to Azure, that we think is a very good project, and we will move forward to. If we have more alternatives in the future, you never know, but I’m more than open to go to good alternatives in the lithium industry.
Isabella Simonato: That’s clear. Thank you.
Operator: The next question is from Ben Isaacson with Scotiabank. Please proceed.
Ben Isaacson: Thank you very much and good morning, everyone. I have three questions. The first question is just trying to reconcile two comments that you made. On the one hand, you said that you expect oversupply of lithium to persist throughout 2024, and we’ve seen what that’s done to pricing. But on the other hand, you’ve said that you expect average realized prices for lithium to be similar to last year, which I believe was averaged about $30,000. In order to achieve $30,000 and if we assume Q1 is going to be the same as Q4, we would need to see prices exceeding $40,000 at some point throughout the year. How can we achieve that if you expect there to be oversupply for the rest of the year?
Gerardo Illanes: Hello, Ben. As we have always explained in the past, we cannot predict what is going to happen with the price in the coming months. This will be the result of the supply demand balance. You know that most of our sales are linked with indexes, so the spot price movements should influence our realized prices with a certain lag. We have seen stable prices in the last three months, and we do not have information today that allow us to foresee important changes in the coming three months. However, we may see some upside based on the timing of new supply entering the market, as commissioning phases sometimes take longer than expected. Or we could also see some possible impacts in the production of less competitive suppliers at current prices. Regarding total demand, we maintain an expected growth of 20% and do not anticipate major changes. There is less uncertainty than in the supply.
Ricardo Ramos: Ben, Ricardo speaking. I want to be very clear that our estimate for the year 2024 is, yes, a lot of uncertainty, but we don’t expect that the average price of 2024 will be the same of the average price of the previous year. What we think is some price stability considering what we have been facing in the market in the last probably five to six months. But we are not saying that the whole 2004 will be an average same average of 2023.
Ben Isaacson: I understand. Thank you. I misunderstood that. So I just have two more questions. Second is on your costs of producing lithium. I know you don’t disclose exactly what the cash costs are, but can you talk about how inflation has impacted those cash costs over the past year?
Operator: Excuse me, this is the operator, again. Your speaker line is open at…
Gerardo Illanes: Hi Ben, this is Gerardo Illanes. Of course, we have seen some pressure on inflation that, of course, is higher in Chile and all over the world than what it was before the pandemic, but also, we're seeing that sort of net out with the effect of a weaker Chilean peso when compared to what we saw about a year ago. So both together make us think that it's more or less even.
Ben Isaacson: Okay. Thank you for that, Gerardo. And then my last question, I don't want to challenge the EV speaker, but I do have a question, which is if Trump is elected and he kills the IRA. I don't think there's a doubt that EV demand is still going to be there. But if EV demand slows down in the U.S. and everything gets pushed out really what that speaks to is a higher probability of there being oversupply in lithium for the next several years. Can you just address that risk, please?
Operator: Excuse me, this is the operator again. The speaker line is open.
Gonzalo Aguirre: Hi Ben. This is Gonzalo here. Yes. So today, as I mentioned earlier, the EV demand in the U.S., it's currently close to 10%. So yes, probably all of this is considered in the forecast, not only ours, but in everyone's forecast. There will be some growth in the future. In the long term, I think there is no impact at all. And I think that everyone is expecting something, but it will keep growing, and it will not be that huge of an impact.
Ben Isaacson: Thank you very much.
Operator: Our next question comes from Corinne Blanchard with Deutsche Bank. Please proceed.
Corinne Blanchard: Good morning, everyone. I want to come back on the recent pricing. So you say you expect a relatively stable pricing for this year. Just want to consider when you say relatively stable, do you mean versus 4Q [ph]. So it has about 15,000. So that would be kind of part of the first question. And the second question on lithium is in the 4Q realized pricing was much lower versus expectation and much closer to spot. So can you talk a little bit about maybe did you have a shift of your volume being more at spot versus some of the benchmark or what just happened in 4Q?
Ricardo Ramos: Yes, as I mentioned before, we only commented about the coming three months, Corinne. So there are – according to the information we are handling today, we see more or less stable prices, okay? What could happen later after that, is, of course, uncertain. And I could not comment on that. And regarding our contract base, I can comment that – all our contracts today are all linked to indexes, just with certain lag. And it depends also if your sales are in China, where you may use different indexes than when you are outside China. Thank you.
Corinne Blanchard: Okay. Thank you. And maybe for a follow-up, can you give an idea of the volume cadence for the year? I mean, 1Q is normally seasonally low, and then we should see like a better improvement in 2Q and 3Q. But yes, if you can just talk a little bit about that, that will be very helpful. Thank you.
Ricardo Ramos: Yes. I could comment that probably the second semester volumes will be higher than the first semester volumes. And yes, regarding I mean, that's all what I could comment actually, because as we said before, there are also things that could happen on the supply potentially that could change. And we have a strategy of having stocks and be ready to sell if the market needs at any time. So take my comment as all things keeping as usual, but things could change also.
Corinne Blanchard: Okay, great. Thank you. I would take the right document.
Operator: The next question comes from [indiscernible] with Goldman Sachs. Please proceed.
Unidentified Analyst: Hi, all. Thanks for the presentation and for taking my questions. My first question is about the Mount Holland project. Given that you recently started production, it would be interesting to have an update on the project and on your expectations for this year. So I'd like to understand better what the strategy is for this spodumene production, given that your refinery is not expected to start up until next year, right? So do you plan on tolling and selling lithium directly, or selling spodumene directly, or building inventories for when the refinery starts? And you mentioned your guidance already includes all your lithium sales globally. So could you break down how much could come from Australia versus Chile and others, right, given this strategy? And the second question is, taking advantage of Gonzalo's [ph] presence, it'll be interesting to hear more about your outlook for lithium prices in 2024. I know we've discussed this a little bit. I just wanted to understand that. So you mentioned prices are expected to remain flat, while demand should grow around 20%. So in terms of supply then, how do you expect this equation to behave ahead, right? So is this stable price related mostly to supply additions in 2023, or are you also mapping significant additions for 2024? If you could give us some projects that you're tracking closely, that would be interesting as well. And also, what are you observing in terms of the cash cost curve for the segment, right, given the addition in suppliers here? In that scenario, would you expect stoppages ahead if current prices remain? That's it from our side. Thank you.
Ricardo Ramos: Sorry, just a little bit confused about many questions, but let me try to the first one, and we can review the other questions in order to be more clear what you want from us. But the first one about Mount Holland, the project, as you know, is a project. The idea of the project is to be a 50,000 metric tons equivalent capacity of lithium hydroxide. That's the project itself. We are very positive after two months of production, and we think this year, even though it's the starting year, there's commissioning of some of the facilities at the production of spodumene. We will produce close to 300,000 metric tons of spodumene that equivalent in lithium hydroxide. If you convert to lithium hydroxide, it's close to 40,000. It means it's very close to the final production capacity that we estimate in this first step of the project. I hope next second semester this year, second half will be according to our 50,000 metric tons per year capacity. That's – we are looking forward, very positive about what's going on in the project. And of course, because we expect to produce this close to 300,000 metric tons, that is close to 40,000 metric tons equivalent in lithium hydroxide at SQM. We have 50% of that. It means close to 20,000 metric tons of lithium hydroxide equivalent. Our strategy is both. First, to try to have some tolling in China in order to convert some spodumene to lithium hydroxide in order to sell lithium hydroxide, probably will be no more than 5,000 to 7,000 metric tons. We don't know yet. Probably, we will stock and we have inventory of the difference of spodumene in order to have more spodumene when the facility that we are building in Australia in order to produce lithium hydroxide will be ready, that is going to be ready next year. And we are going to have this additional spodumene, but again, we don't expect to sell spodumene to the market. It's not our business. We – if we do something is to transform and to have a total agreement in order to transform to lithium hydroxide. But again, it's not going to be so relevant. It means if you consider our estimates of total volume sales for this year that I hope is going to be close to 200,000 metric tons. No, that's too high, maybe lower than that. But okay, close to. And for this total amount, 7,000 is not that big. But that's what is going to be the first estimate. And the project, the good news is the project is going ahead very good and the production quality, the volumes, the equipment, the work, everything is working, and we're very happy about that. The second question, I'm not so sure what's what related.
Unidentified Analyst: Sure. Thanks for the answer. Actually, the second question is more about the outlook for prices, right? So you mentioned that you expect prices to remain flat, while demand should grow, right, by 20%, right? So this is probably due to the oversupply that you guys have mentioned, right? So I just wanted to understand whether most of this oversupply you expect comes from projects that were added in the end of like closer to the end of 2023 or if you're also like mapping significant additions in supply for 2024? And which projects you guys are tracking for 2024 that you think could be like important for us to track as well? So that's one question. And then the other question here about the market is regarding the cash cost curve. So how you've seen that curve change given the new suppliers and new projects that have joined the market and in that scenario with renewed cost curve here, if you would expect any stoppages ahead for new – for older projects, higher cost projects if the current prices remain? That's it.
Ricardo Ramos: One point that is very important, we don't want to comment on specific projects from our competitors. We don't – of course, we have a forecast for different of them, and we put that on average what we estimate of the market. But we will not comment on specific if we think one project is going to go ahead or the other not, it's good or not good, whatever. But again, as we explained before, we foresee stable prices in the short-term. Probably, we are more optimistic – more positive for the second half of this year. Yes, we are more positive but in the short-term, we are more stable in price environment. There will be some announced – previously announced project that everybody knows, some new projects that are coming to the market that everyone knows. There's no secret here. We are the ones that are producing or trying to produce lithium, that's the average we put together, plus we have a very strong view about the demand for this year and the demand in the future. And at the end, the cash cost, I don't think cash cost is so important in a market that is growing more than 20% per year. It means, if you're having a market growing that big in terms of lithium, you should consider the total cost because we need new projects, completely new projects every year in order to supply the demand. That's why what is important is to keep an eye. What is the total cost of new production coming to the market because that's what is relevant in order to see what is going to be the equilibrium price of lithium carbonate and lithium hydroxide.
Unidentified Analyst: Perfect. Thank you. 
Operator: The next question comes from César Pérez-Novoa with BTG Pactual. Please proceed. 
César Pérez-Novoa: Good morning everyone or good afternoon. Two questions here. On your iodine market assessment, you foresee demand growth in 2024, but your volumes, as you mentioned in the press release, will be flat. Is this because your production and global market share actually increased a lot in 2023 on the inception of Pampa Blanca. And my second question relates to the Azure Minerals Transaction, you received competition law approval earlier this week. Can you please comment on the next milestones and subsequent filings that you need to make in that market, including your new report on the transaction. Thank you. 
Juan Pablo Bellolio: Hi César, this is Juan Pablo. Well, as we explained in the past, in the call of the last quarters, improving the capacity in iodine is really hard. Last year, even with a weaker demand than expected, we were able to bring up capacity and being able to cover the supply of our competitors that were below our expectations. So that's why during last year, we went up in our volumes, even the demand went down. We're expecting for 2024 to keep our ability to keep producing with Pampa Blanca as we have done in the past. But we may expect that some of our competitors recover their supply, and that's why we are considering flat sales, even the demand may be growing.
Ricardo Ramos: César, Ricardo talking about the Azure project. So you have any further question about the iodine or go to the…
César Pérez-Novoa: No, no, that was my question actually on why volumes were flat. Thank you. 
Ricardo Ramos: Okay. About Azure, as you know, this kind of transaction in Australia are fully regulated by law. And there's very specific procedure to follow. We have been under the procedure. We informed the Board of Azure of everything on time and the authorities on time. And the next steps are according to what is in the legal procedure. I don't want to comment about that in terms that there is some formal process we have to follow. And we have been following the formal process. And you can be sure that we will inform on time to the market when we move to the next step in the project. But we are fully committed with our partners. We are – we think it's a great project, and we have a very good relation with Hancock and together, we think we're going to have a great project. That's what I want to say now. Thank you. 
César Pérez-Novoa: Okay. That’s fair enough. Thank you, Ricardo. 
Operator: And at this time, there are no further questioners in the queue, and this does conclude our question-and-answer session. At this time, I would like to turn the conference back to Irina Axenova for any closing remarks.
Irina Axenova: Thank you, Chris, and thank you everyone for joining us today. We look forward to having you on our next call. Have a great day. Goodbye.
Operator: The conference has now concluded. Thank you for attending today's presentation. And you may now disconnect.